Operator: Good day, everyone. Welcome to VeriSign's Second Quarter 2025 Earnings Call. Today's conference is being recorded. Recording of this call is not permitted unless preauthorized. At this time, I would like to turn the conference over to Mr. David Atchley, Vice President of Investor Relations and Corporate Treasurer. Please go ahead, sir.
David Atchley: Thank you, operator. Welcome to VeriSign's Second Quarter 2025 Earnings Call. Joining me are Jim Bidzos, Executive Chairman, President and CEO; and John Calys, Executive Vice President and CFO. This call and presentation are being webcast from the Investor Relations website, which is available under about VeriSign on verisign.com. There, you will also find our earnings release. At the end of this call, the presentation will be available on that site, and within a few hours, the replay of the call will be posted. Financial results in our earnings release are unaudited, and our remarks include forward-looking statements that are subject to the risks and uncertainties that we discuss in detail in our documents filed with the SEC, specifically the most recent reports on Form 10-K and 10-Q. VeriSign does not update financial performance or guidance during the quarter unless it is done through a public disclosure. The financial results in today's call and the matters we will be discussing today include GAAP results and 2 non-GAAP measures used by VeriSign, adjusted EBITDA and free cash flow. GAAP to non-GAAP reconciliation information is appended to the slide presentation, which can be found on the Investor Relations section of our website available after this call. Jim and John will provide some prepared remarks. And afterward, we will open the call for your questions. With that, I'd like to turn the call over to Jim.
D. James Bidzos: Thank you, David. Good afternoon to everyone, and thank you for joining us. Last week, VeriSign marked 28 years of 100% availability of the .com and .net domain name resolution system, an unparalleled record of reliability, delivering on our mission of providing stability and security of the critical Internet infrastructure we operate. Turning to our results, VeriSign's performance in the second quarter reflects sequentially improving trends and the soundness of our business model. At the end of June, the domain name base for .com and .net totaled 170.5 million domain names, up 660,000 from last quarter. New registrations for the second quarter totaled 10.4 million compared with 10.1 million for last quarter million for the same quarter a year ago. The renewal rate for the second quarter of 2025 is expected to be 75.5% compared to 72.7% a year ago. Given these improving domain name base trends, we now expect the change in the domain name base to be between positive 1.2% and positive 2% for 2025. The improving trends which began at the end of last year, have continued throughout the first half of 2025. Each of our geographic regions have shown improvement year-over-year in both new registrations and renewal rates with particular new registration strength from Asia-Pac. We are seeing registrars focus more on customer acquisition and many of them are engaging more fully with our marketing programs. Our updated guidance reflects this positive momentum but continues to reflect some conservatism as economic and geopolitical uncertainty exists and as we monitor the continuing strength of the trends noted. Our financial and liquidity position remained stable with $594 million in cash, cash equivalents and marketable securities at the end of the quarter. During the second quarter, we returned $235 million to stockholders, of which $72 million was through dividend payments and $163 million through repurchase of 0.6 million shares. Effective today, the Board of Directors has increased the amount authorized for share repurchases of VeriSign common stock by $913 million for a total of $1.5 billion available under the current share repurchase program, which has no expiration. As announced in today's earnings release, VeriSign's Board of Directors declared a cash dividend of $0.77 per share of VeriSign's outstanding common stock to stockholders of record as of the close of business on August 19, 2025, payable on August 27, 2025. VeriSign intends to continue to pay a cash dividend on a quarterly basis, subject to market conditions and approval by VeriSign's Board of Directors. Now I'd like to turn the call over to John. I'll return when John has completed his financial report with closing remarks.
John D. Calys: Thank you, Jim, and good afternoon, everyone. For the quarter ended June 30, 2025, the company generated $410 million of revenue, up 5.9% from the same quarter a year ago. Operating expense in Q2 2025 totaled $129 million, which compares to $131 million last quarter and $121 million for the second quarter of last year. Net income for the second quarter totaled $207 million compared to $199 million, both last quarter and a year ago same quarter. Second quarter diluted earnings per share was $2.21 compared to $2.10 last quarter and $2.01 for the same quarter of 2024. Operating cash flow for the second quarter of 2025 was $202 million. Free cash flow was $195 million compared with $160 million and $151 million respectively in the quarter -- in the year-ago quarter. I will now discuss our updated full year guidance for 2025. Revenue is now expected to be between $1.645 billion and $1.655 billion. Operating income is now expected to be between $1.117 billion and $1.127 billion. Interest expense and nonoperating income net, which includes interest income estimates, is still expected to be an expense of between $50 million and $60 million. Capital expenditures are now expected to be between $25 million and $35 million. The GAAP effective tax rate is still expected to be between 21% and 24%. In summary, VeriSign continued to demonstrate sound financial discipline during the quarter. Now I will turn the call back to Jim for his closing remarks.
D. James Bidzos: Thank you, John. We're pleased to see the improving channel trends we're reporting today, which are the register refocus on customer acquisition and their engagement with our programs. We're also pleased to see that these trends are broad-based across all regions globally, particularly in Asia-Pac. Our 2025 programs have deepened our engagement with our channel, and we're using what we're learning to improve our 2026 programs which are currently under development. I think it's important to remember that offering marketing programs to our registrar channel isn't new for the company, what's new is that as our channel is diversifying with many different business models represented, we're specifically adapting our programs for broader engagement. Today, the focus of our reporting is, of course, Q2 earnings. However, our announcement of a dividend last April has drawn the interest of many investors new to VeriSign, so for any of those who may be on today's call, I'd like to take the opportunity for a minute two to offer some perspective beyond the financial results. VeriSign's primary mission is to operate critical global infrastructure, not only .com, but also including essential components of Internet navigation itself such as operating root servers and publishing the root zone within stringent availability and performance requirements. The endpoint mission is in a challenging cyber threat environment to answer DNS queries with 100% availability, accuracy and millisecond level performance around the world 24/7. There are now over 460 billion such queries on average per day or well over 5 million queries per second every second of every day. By developing a unique, highly resilient architecture with physical points of presence in over 60 countries, avoiding reliance on any public cloud service where outages are not uncommon and designing overcapacity measured in multiple orders of magnitude over current and anticipated traffic volumes, VeriSign has delivered this performance for 28 continuous years without failure and unparalleled record. Reliance on is mostly invisible infrastructure has grown as Internet usage and reliance has grown, and the broad dependencies on this infrastructure by other critical infrastructures cannot be overstated. Two contracts, the cooperative agreement with the Department of Commerce and the .com registry agreement with ICANN under live VeriSign's operation of .com. Both have seen multiple renewals and most recently, both were renewed in November 2024 for another 6 years. Thanks for your attention today. This concludes our prepared remarks. And now we'll open the call for your questions. Operator, we're ready for the first question.
Operator: [Operator Instructions] We will take our first question from Rob Oliver with Baird.
Robert Cooney Oliver: Great. Jim, nice to speak with you, John, official welcome to you. First question for you guys is just around the obvious domain strengths, which you guys are seeing, which is very encouraging. And Jim, I would love to get your perspective on kind of what some of the drivers are for the domain strength? I know you called out broad-based drivers in terms of geography, but if there's anything to call out there? And then you did mention the marketing programs, and I appreciate that color, and I'd also love to hear a little bit on where you're seeing traction with those marketing programs. And then I had a quick follow-up.
D. James Bidzos: Okay. Well, First of all, the things that we mentioned earlier are the main drivers. Number one, is refocus on new customer acquisition by registrars versus the ARPU that we saw for a period of time. So that cyclical turn is a tailwind that we were anticipating and hoping we didn't know exactly when it would come, but that's certainly here. And then register our engagement with our marketing programs. Our marketing programs are -- seem to be accelerating the improving trends in demand for our domain names. And we'll continue to refine and improve the programs as we learn and monitor their performance and apply what we learn and hopefully improve their effectiveness. And I know this is on a lot of folks' minds. So I'll just say, as a reminder, the cost of our marketing programs is baked into all of the updated guidance that we provided today. And all of these programs are accretive. And I would just call out as well the improvement in the preliminary renewal rate of 75.5%, up from last year's Q2 rate of 72.7%. I think that's significant. The midpoint of the DNB guidance that we gave today reflects what we expect to be a continuation of the trends. We think it's prudent not to ignore the variables here. So there's a little bit of caution baked in there as well. We'll certainly update you next quarter. But I'd say to sum it up, we're pretty pleased with the improvements that we're seeing. We're going to keep doing what we're doing with the programs and improve them, help accelerate the trends that we're seeing now across all the regions.
Robert Cooney Oliver: Great. And then just a quick follow-up. You called out Asia-Pac in particular, Jim, as a driver. And I guess two parts to that question. One, is that also a combination of just better economy and marketing programs getting better for you guys? Or is it one or the other? And then two, have you seen any movement one way or another in China relative to domain activity?
John D. Calys: Sure. Thanks, John. Yes. Rob, it's John. So certainly, we've seen year-over-year growth in new registration across all of our main regions. Asia-Pac was the strongest of those 3 regions. And China is now a part -- reported as a part of our Asia-Pac regions. Registrars in that regions are seeing solid demand, and we think some of that demand is being accelerated by our marketing programs. Over the years, as you know, we have seen volatility out of China. And so while we're pleased right now with the improvement and the trend that we see, we continue to monitor the strength and the duration of the positive trends. And as Jim mentioned, we've baked a little bit of conservatism into our forecast for the rest of the year.
Operator: We will take our last question from Ygal Arounian with Citigroup.
Ygal Arounian: Maybe first a clarification. It sounds like you're talking about the marketing programs and the kind of registrars moving back towards broadening the funnel versus on ARPU as separate things. Do you see the marketing program driving the way the registrars are changing on that ARPU versus funnel approach? Or are both things kind of happening concurrently at the same time but separately?
D. James Bidzos: I think it's kind of the latter there that you're describing. There is -- clearly, I mentioned last quarter that early in the year, 2 registrars advertised in the Super Bowl. That's a bit of an extreme example, but there's a much activity similar to that, that we see that they're focusing on trying to find new customers. Our programs, we think, are contributing and accelerating. And so there's a bit of synergy there between the two. The other component here is that the diverse channel that we mentioned. They all have different business models. And by offering them range of programs that allow all of them to engage, I think that's very welcome. We get a lot of feedback. We visit all of our channel partners. We speak to them frequently. And I would say not only are we learning, but the feedback that we're getting also is very much informing what we'll do with the programs that we're putting together right now for 2026.
Ygal Arounian: Okay. Very helpful. And so maybe a follow-up on the 2026 programs as well. So the program is helping you get or at least kind of envision the 2% growth at the high end for this year. If I look back historically, there's always been a range in where kind of the domain name base grows. But certainly an opportunity to get back above 2%. And I know I'm not going to ask you to forecast for 2026. But if the marketing programs are working and you can kind of continue to tweak them, maybe you see a path towards greater than that moving forward beyond this year? Just any more color you can give on the marketing programs next year? And where do you think that can take things?
D. James Bidzos: Well, it's a bit early for that, but I can tell you with confidence that what we're learning is giving us cause for a reason to believe that we think we can improve them. It's too early to talk about how much, of course, but I think there's no doubt that we're getting better, that we're getting much, much more information that our channel engagement is broad and improved. Our teams are meeting more frequently. We're getting more specific suggestions, ideas and requests about how we can help the channel perform better. So all of that activity certainly would be indicative of continued improvement. We'll keep you posted. We'll talk to you again in another quarter and maybe we'll have more. But I see it now as an opportunity to take everything that we're learning, which is significant and apply it to designing more effective programs and perhaps even get broader engagement by the channel. Remember, we have a very large number of registrars. And so bit early to talk too much about 2026, but we're pleased with what we're seeing and hearing. John, do you want to add anything?
John D. Calys: No. We're obviously, in our planning process, we're looking at how we can refine and adjust the programs. I think it's more of an evolution than a revolution as we look forward.
D. James Bidzos: But in the right direction?
John D. Calys: Yes.
Ygal Arounian: Okay. Sorry, two more, if you don't mind. One maybe quick and a philosophical one, bigger picture over time. Any update on the new domain auctions that are coming up later this year and your thoughts on. I know we're still working through .web potentially, but just broadening beyond .com, .net and maybe .web. And then the bigger picture, longer-term one, I mean, genAI and trends and the impact to the open Internet is a topic that comes up these days in almost every conversation with investors and in particular, the impact to the kind of mid- and long tail of the Internet over time. I just wanted to get your thoughts on how you see that impact playing out over time and your thoughts on how traffic to the open Internet might change and how that might change the trajectory or importance of domain growth and websites given where you sit, I'd love to get your thoughts on that.
D. James Bidzos: All right, Ygal, thanks. Three or four good assay questions in there. I will try to answer all of them, but try to be a little bit brief. No, those are good questions. First of all, I think you were referring to the new gTLD program that ICANN is planning to launch next year. The target availability of the window of new applications to open is in Q2 of next year. So we're looking at that. We've been involved in aspects of the program. You mentioned auctions. I think I can pretty sure that this has sort of decided at this point that there's a lot of indication that there will not be auctions that there'll be some other mechanism that would resolve what are called contention sets when multiple applicants for the same TLD apply. So yes, we're looking at that for any opportunities for anything that we might apply for, too early to really talk about anything there. You also mentioned .web. There is some update there. So let's see what we've had here just recently since the previous update, the IRP panel, which is essentially the arbitration panel, as you'll recall, we made a request, again, to participate in the IRP which was granted. So we'll be participating. Briefs have been submitted. The Altanovo, the plaintive service speak in this case, made their brief in June. And our response and ICANNs responses are due in August, a very few days here. And the final hearing is currently scheduled for mid-November 2025. So -- maybe we're getting close to the end here. So and just to reiterate, we intend to become the registry operator for .web, we intend to bring this TLD to our customers as soon as we can. And we believe Altanovo's use of ICANN's processes to keep this from happening is an abuse of process and is being pursued in bad faith to keep .web off the market. And with respect to AI, this is really interesting. We like -- as I'm sure you are, I get a lot of questions, a lot of interest. It's really the focus for everybody. We don't see it as a negative. I think there are at least 2 areas where AI can be positive for domain names. First, AI models, create their data from websites, and we think the AI optimization will become more important for creating websites with more content. I'd like to think that there is no static data in the world today even if an AI had an LLM that consisted of all -- everything in the Encyclopedia Britannica, even the War of 1812 is getting a new look, a new analysis and new information. So there's nothing static. So information needs to be obtained and the Internet needs to be navigated and that's where our infrastructure comes into play. AI tools can also be powerful for domain name suggestions, really powerful. And we've learned over the years that multiple keyword coms are good domain names to have. And we're using this building it into our name suggestion tools. Now as it relates to our own use of AI internal and our infrastructure, as I think you may not be surprised to hear, we are taking a very cautious, a very low- risk approach. We're moving very carefully and thoughtfully before we fully implement any AI tools for our own business. It's all about security and stability and avoiding the unknown and avoiding single points of failure. So we are drawing very, very careful fences around our use of AI and being extremely cautious about it. So anyway, there's a lot there. I don't know if that answered your questions, but...
Ygal Arounian: It does. Very interesting and very helpful.
Operator: Thank you. This does conclude today's question-and-answer session. I would now like to turn the call back to David Atchley for final comments.
David Atchley: Thank you, operator. Please call the Investor Relations department with any follow-up questions from this call. Thank you for your participation. This concludes our call. Have a good evening.
Operator: This does conclude today's conference. Thank you for your participation. You may now disconnect.